Operator: Good Afternoon, my name is Heather and I will be your conference operator today.  At this time, I would like to welcome everyone to the Q4 Fiscal Year 2008 Semtech Corporation’s earnings release conference call.  All lines have been placed on mute to prevent any background noise.  After the speakers remarks, there will be a question and answer session.  If you would like to ask a question during this time, simply press star then the number one on your telephone key pad.  If you would like to withdraw you question, press the pound key.  Thank you, Mr. German you may begin your conference.
Todd German: Thank you operator.  Good Afternoon ladies and gentleman and welcome to Semtech Corporation’s fiscal year 2008 Fourth Quarter Conference Call.  I’m Todd German, Director of FP&A and Investor Relations.  We have just released un-audited results for our fourth quarter that ended January 27th, 2008 and for the next 45 minutes or so, Mohan Maheswaran, Semtech’s President and Chief Executive Officer and Emeka Chukwu, our Chief Financial Officer will be discussing those results and answering your questions.  Before I turn the call over to Emeka, I want to remind everyone of the following notices.  First this call is open to all interested parties in accordance with Reg FD.  If you have any questions about our future performance, or our estimates of future financial results, we will consider them now.  We are unable to say if there will be another Reg FD compliant opportunity for you to ask questions before the next quarterly conference call. Second, this conference call will include forward looking statements as defined by SEC rules.  Forward looking statements are statements other than historical information or statements of current condition and relate to matters such as future financial performance, future operational performance, the anticipated impact of specific items on future earnings and our plans objectives and expectations.  Forward looking statements involve risks and uncertainties that could cause results to differ materially from those projected.  These risks and uncertainties include worldwide economic and political conditions, the timing and duration of semiconductor market upturns or downturns, demand for electronics in general, demand for the company’s product in particular and supply chain and manufacturing risks. In addition, to considering these risks and uncertainties, forward looking statements should be considered in conjunction with the cautionary statements contained in the risk factors section and elsewhere in our annual report on form 10K for the fiscal year ending January 28th, 2007 in our other filings with the SEC and in materially incorporated therein by reference.  In light of the risks and uncertainties in the forecast of revenue and gross margin, and in other projected matters, forward looking statements should not be regarded as representation that the company’s objectives or plans will be achieved or that any of its operating expectations or financial forecasts will be realized. Semtech reports quarterly results based on Generally Accepted Accounting Principles, commonly referred to as GAAP.  This quarter we have made reference to certain non GAAP measures.  These non GAAP items are provided to enhance your overall understanding of our comparable financial performance between periods.  In addition, management generally excludes certain items in managing and evaluating the performance of the business.  The results in announced today are preliminary as the annual audit by company’s independent registered public accounting firm is still underway.  As such, these results are subject to revision until the audit is completed and the company files its annual report on form 10K. Although a replay of this call will be available on the investor relations section of our website, we assume no obligation to update or revise any forward looking statements whether as a result of new information, future events or otherwise.  For those interested in learning more about Semtech, Emeka Chukwu will be presenting at the Citigroup’s Small and Mid Cap Conference in Las Vegas on March 18th.  Thanks for your attention to this important preliminary information and I will now turn the call over to Emeka Chukwu, Semtech’s CFO.
Emeka Chukwu: Thank you Todd, good afternoon ladies and gentlemen.  Before we get to the financials, I would like to provide you with an important update on previously disclosed federal and state derivative litigation brought with respect to the company’s past stock option practices.  We are pleased to announce that during the fourth quarter we reached a tentative settlement.  To cover the Morning trade component of the proposed settlement the company accrued $1.625 million net of anticipated insurance proceeds resulting in an unfavorable $0.02 impact on our fourth quarter fully diluted cap earnings per share.  Our settlement had a negative impact on our fourth quarter earnings.  We are pleased to put this matter behind us.  We are working to document this settlement which is subject to court approval. Now moving on to our Q4 financial performance.  Revenues for the fourth quarter fiscal 2008 were $78.6 million.  A 35% increase from the same quarter last year and sequentially flat.  The increase in year over year in revenue was driven by strength in sales of our power management product within the computing space.  Strength in hand held revenues and the resurgence in sales of our power discrete products.  For the year overall revenues closed off 13%.  During the fourth quarter, 65% of our revenues were derived from customers in Asia.  21% came from North America and 14% from Europe.  Revenues from handhelds accounted for 21% of revenue during the quarter.  Wire computer accounted for 21%.  Test equipment accounted for approximately 2% of revenue.  Communications infrastructure accounted for 19% and industrial accounted for 37%. As expected we saw a substantial decline in our computing and handheld revenue due to seasonality.  Revenues from OEM sales represented approximately 35% of total revenues for the fourth quarter.  Wire distribution represented approximately 65% of total revenues.  Orders in Q4 were softer because of seasonality, resulting in a [booking] of less than one.  Strength in orders for our industrial and electric products was not enough to offset the softness in the computing and the handheld segments. Net [those] orders accounted for 32% of shipments during the quarter.  Non GAAP gross margin for the fourth quarter of Fiscal year 2008 was 55.5%, 50 bases point increase from the third quarter of fiscal 2008.  This increase was due to a greater mix of higher margin revenue.  Our target for fiscal year’09 remains to exit the year in the midpoint of our 55 to 60% gross margin model range driven mostly by revenue from new products that as you know will be a substantial improvement from where we were a year ago. We do expect gross margin during the first quarter of fiscal 2009 to be in the range of 55% or 55.5% because of lower manufacturing volumes, but again we remain committed to our yearend target.  Non GAAP research and development expenses were $10.1 million for the quarter.  This represents 12.9% of sales compared to 13% in the previous quarter.  We expect that on this spending to remain relatively flat at $10 million in the first quarter of fiscal year 2009, though we do expect to be getting more out of our R&D expenditures because of productivity gain. Non GAAP LG&A expenses were $15.1 million for the quarter, an increase o f $800,000 from the third quarter.  This represents 19.1% of sales compared to a 10.3% in Q3.  This increase reflects the impact of upgrading [productivity] of our sales force and several on time expenses.  We expect LG&A spending in the first quarter of fiscal year 2009 to be slightly down compared to the fourth quarter.  Interest and other income was $2.8 million in the fourth quarter.  For the first quarter of fiscal year 2009, we expect interest and other income of approximately $2 million.  The decrease would be due to lower average interest rates and lower cash balances. The company’s non GAAP expected tax rate for the fourth quarter fiscal year 2008 was approximately 20.7% compared to 10.8% in the third quarter of fiscal 2008.  If you recall, our Q3 rate was favorably impacted by the Federal tax treatment in a foreign jurisdiction for all realized currency exchange activity associated with a weaker dollar.  In addition in Q4 we wrote down our state deferred tax asset as result of lower apportionment factors in high tax jurisdictions. We expect our non GAAP effective tax rate for the first quarter of fiscal 2009 to be approximately 24.5% because we are not projecting to see any benefits from foreign exchange fluctuations.  As a reminder, the actual rate can vary from the forecast based upon geographical mix of our income and other factors such as those previously mentioned.  The diluted share count for the fourth fiscal quarter was 63.5 million shares.  The lower share count reflects the impact of any completion of our accelerated stock buyback program and the completion of another $50 million regular stock buyback in the fourth quarter. We expect diluted weighted share [the standard] 63 million shares in the first quarter of 2009.  This forecast can vary based on the average stock price for the quarter.  Stock option exercises and the actual level buyback under the $50 million buyback program announced today.  On a non-GAAP basis excluding the stock based compensation, the amortization of acquisition related intangibles.  Legal expenses related to the SEC investigation, legal expenses are associated with Semtech’s now [standard] insurance litigation and independent shareholder litigation expenses. Net income was $16.8 million or $0.26 per diluted share for the fourth quarter.  Net income for the same quarter last year was $9.8 million or $0.13 per share.  For the third quarter of 2008, net income was $19.4 million or $0.29 per share.  We expect non GAAP earnings in the first quarter of fiscal 2009 to be between $0.20 and $0.22 per diluted share.  For the fourth quarter, equity compensation was $4.3 million or 5.5% of revenue, this is an increase of $300,000 from the third quarter of fiscal 2009.  Our Q3 expense benefited from a true up of forfeitures.  We expect equity compensation of approximately $4.9 million in the first quarter of fiscal 2009.  The increase is due to aligning the timing of executive grants with our planning cycle. Our GAAP tax rate in the fourth quarter was 26.8% compared to 1.7% for the third quarter of 2008.  As discussed earlier, our third quarter tax rate benefited from a federal tax treatment in a foreign jurisdiction related to a weakening US dollar.  In addition in Q4 we wrote down our state deferred tax asset as a result of lower apportionment factor in high tax jurisdiction.  We expect our GAAP tax rate for the first fiscal quarter of 2009 to be approximately 23.5% based on projected regional mix of income.  Our GAAP net income for the quarter was $14.9 million or $0.23 per diluted share, up from $4.6 million or $0.06 per share for the same quarter last year and down from net income of $60 million and $0.24 per share for the third quarter of 2008. We expect GAAP net income of $0.13 to $0.15 per diluted share in the first quarter of fiscal 2009.  Now turning to balance sheet, our balance sheet remained very strong.  Semtech ended the quarter with approximately $13 million of cash and investments on the balance sheet, a decrease of $52 million from the third quarter.  The decrease is because we spent $17 million on share repurchases and to settle the completion of the accelerated stock repurchase program during the fourth quarter.  During the fourth quarter, company spent approximately $1.4 million on property plant and equipment.  Depreciation and amortization for the fourth quarter was approximately $2.2 million, including approximately $275,000 of intangible amortization.  In the first quarter we expect capital spending to be approximately $4 million. This increase in capital spending is to support the expected productional ramp of newer product platforms in our power management and advanced communications success and businesses and to support the increase supply ramp or our power discrete products.  We expect depreciation and amortization to be approximately $2.2 million in the first quarter of fiscal 2009.  The days outstanding accounts receivable was 38 days for the quarter, up slightly from 35 days in the third quarter.  In absolute dollars, net inventory increased by $4.7 million in the fourth quarter as compared to the third quarter of 2008 and the days of inventory increased to 68 days from 60 days in third quarter of 2008.  This increase in inventory is to enable us to support our strategic customers better. Inventory at our distribution partners was up from Q3 levels as is typically the case in the fourth quarter for us.  In summary, fiscal year 2008 was a solid year for us.  We demonstrated the leverage in our business model by growing earnings faster than revenue.  We grew revenues 13% and grew non GAAP earnings per share by 24%.  GAAP earnings per share also grew by 69%.  Our strong cash generation from operations in addition to existing cash balances allowed us to repurchase 6.9 million shares of approximately 1/10 of the shares that are outstanding at the beginning of the fiscal year resulting in higher return on investment for our share holders.  I will now hand the call over to Mohan.
Mohan Maheswaran: Thank you Emeka, good afternoon everyone.  I will discuss our Q4 fiscal year 2008 product group performance, our fiscal year 2008 company performance, and then discuss our Q1 fiscal year 2009 outlook.  Q4 of fiscal year 2008 was another exceptional quarter for Semtech.  Once again we achieved the highest revenues in any single quarter in the company’s 47 year history.  Semtech achieved $78.6 million in revenues that versus Q3 represents 36% increase versus Q4 for fiscal year 2007.  Non GAAP gross margin increased 55.5% and non GAAP EPS grew on an annual basis by 100% to $0.26 per valued share.  We are very pleased with both our revenue and EPS performance in Q4.  Demand for our protection products and our power discrete products remained relatively strong in the quarter, driven mostly by the communications and industrial segments. Now let me discuss the performance of each of our product groups in Q4.  In Q4, our power management revenues declined by 5% on a sequential basis.  On an annual basis, power management revenues increased by approximately 60%.   Our power management business continues to make a steady return to growth.  The demand in Q4 was driven mostly by the communication end market.  Our power management business unit is beginning to release newer more differentiated power platforms and we expect that fiscal year ’09 will be another good year for our power business. In addition to various miniature LED driver and buck push converter product.  In Q4 Semtech introduced a new family of battery chargers to the market targeted at handheld battery operated systems.  This is the first battery charger family based on a new platform architecture released by Semtech in over 5 years.  This new family of miniature high input voltage lithium ion charger products is now released and we will start the wing design in the first half of fiscal year ’09. In the next two quarters, we expect to release several more power management platforms that will enable Semtech to expand its plan.  The focus of these new platforms will be the handheld consumer and the industrial segments.  We are confident the momentum from our new power product will grow further revenue growth and margin expansion in the years ahead. Given that our fiscal Q1 is seasonally softer quarter computing, handheld and consumer systems, we expect our power management revenues to be down sequentially in Q1.  In Q4 our protection revenues were in line with Q3 revenues.  On an annual basis, protection revenues increased by 53%.  Demand for our protection products remain strong in the quarter driven by the industrial and communication markets.  The increase in demand for our protection devices is being driven by the increase in the number of ports requiring protection and the increase in system returns our customers are facing due to unprotected systems. Our protection business unit continues to execute quite superbly and strategically we are very encouraged by the design in momentum of our protection products across all of our target markets and our strategic account and [tier 2 and tier 3 accounts].  Due to Q1 being a seasonally softer quarter for consumer and computing systems, we expect our protection revenues to be down sequentially in Q1. Our power discrete revenues were up approximately 9% sequentially in Q4 and again achieved another revenue record.  On an annual basis our power discrete revenues increased by 42%.  We are delighted with the execution within this product group and our customers continue award us increasing opportunities as we support their supply constrained demand.  This business is driven by demand from the aerospace, military, industrial, and high end medical markets.  Our focus on improving our supply throughput is driving an ability to service unfulfilled demand in these market segments.  One of the highlights in this business is the recent Gannet Certification of our manufacturing facility which will enable us to start to develop and ship space level power discrete product.  Our first space level product has already been approved and certified and we expect to start taking orders on this product in Q2 of fiscal year ’09. As I am sure you are aware, the typical ASP’s for space level certified products are significantly higher.  In fiscal year ’09 we expect to increase our share within the power discrete space market and the overall power discrete market.  We will continue to see growth in our power discrete business and in Q1 we expect our power discrete revenues to increase.  Revenue for the advanced communications and sensing business decreased 4% sequentially in Q4.  On an annual basis, our advanced com and sensing business was down 1%. We are pleased at the product initiatives from our advanced com and sensing business as we have recently introduced several new platforms targeted at the industrial wireless and the industrial sensing markets.  These new platforms include a family of ultra-versatile high performance sensor interface devices targeted at pressure temperature and magnetic sensors and a family of low cost flexible sensor interface devices for portable applications. We have many more platforms in the pipeline that will increase the opportunity for Semtech and change our future market base.  Solid development execution on our new road map is critical to the future success of our advanced com and sensing business as we expect these new platforms to positively accelerate the pipeline and drive further operating leverage. The business from these new platforms is expected to start to contribute in the second half of fiscal year 2009.  In Q1 we expect revenues from our advance communications and sensing business to increase modestly.  Our test and measurement revenues were at 142% in Q4.  The demand in the ATE segment continues to be very soft and we do not see any short term improvement in this segment while we do believe that our new integrated Cobalt platform is the best integrated pin driver platform on the market, the lack of market growth in this segment has led me to drive further organizational change within the company. Our test and measurements business which was formally the acquired company known as Edge has now been integrated into our advanced com and sensing business unit.  I believe that there is a very good strategic opportunity to marry the com business of pin driver electronics with our industrial sensing com business to introduce new Cobalt platforms targeted at consumer and industrial segments.  Semtech now has four product groups, power management projection, advanced communication and sensing and power discrete.  In the future, we will no longer report on our test and measurement business or break out ATE as an end market. From a distribution POS standpoint, the Q4 fiscal year ’08 we saw total POS decrease.  The POS decrease was driven by all regions and all segments.  Distributor inventory increased in the quarter as expected.  We believe that our channel inventory is now at the levels necessary to appropriately support our customers.  Moving on to new products, we released 22 new products in Q4.  This is a 29% increase over Q3.  Our new product development machine continues to flow well in all of our businesses.  This is still an area where we can do better, but I’m confident that we will start to see noticeable results this year. Design winds for these new products will start to embark our new product revenue and overall gross margin for fiscal year, 2009.  Turning to design winds, we recorded over 800 new design win in Q4 which represents another solid design wind quarter for the company.  The design winds were once again well balanced across several of our product groups and regions.  With the new platforms we have recently announced, we expect to see a continuation of the strong design and momentum in the future. Let me comment briefly on our fiscal year 2008 performance.  Fiscal year 2008 was record revenue year for Semtech.  We achieved $285 million in revenues and grew 13% from fiscal year 2007.  On a non GAAP basis, we also maintained 55% gross margin for the year and grew non-GAAP EPS by 24% over fiscal year 2007.  We grew our design wind by 23% versus fiscal year ’07 and we grew our new products by 40% versus fiscal year 2007.  This was achieved in a year when we completed a financial restatement and we’re still in a year of transitioning the culture of the company and improving the execution of the company. Also, in fiscal year 2008 our protection and power discrete revenues achieved record levels and our power management revenues increased for the first time in three years.  We also created our advanced com and sensing group which is the integration of previously acquired companies that makes Parker Power an Edge.  In addition, we put in place a new management team, hired many talented people into the company, and added several new management processes into the company.  We also repurchased $220 million our stock, settled our insurance litigation and sold off our San Diego land. Finally, the culture at Semtech is changing and I am confident that the new Semtech which now has over 4,500 customers and 1400 products is going to continue to form at a higher level.  Fiscal year, 2008 was a very good year for the company and one that we are very proud of.  Now let me discuss our outlook for next quarter.  While Q4 was another record for Semtech, our book to bill in the quarter was less than one.  Despite a modest increase our recent orders, given that Q1 is a seasonally softer quarter for the computing a consumer markets, we expect Q1 revenues to be between 70 million and $74 million.  If we achieve the midpoint of guidance, Q1 of fiscal year ’09 would be a record Q1 for the company and represent a 19% growth versus Q1 of fiscal year of ’08. To attain the mid range of our Q1 guidance or $72 million, we need a net [Kerns] orders of approximately 39% at the beginning of Q1.  The priorities for Q1 are reviewing our product lease machine to ensure that our new platforms are released on time and to start to review other attractive emerging applications that could be a good fit for Semtech’s new platforms.  I will now hand the call back to the operation and Todd, Emeka and I would be happy to answer questions.
Operator: At this time, I would like to remind everyone in order to ask a question, press star then the number one on your telephone key pad.  We’ll pause for just a moment to install the Q&A roster.  The first question comes from Craig Ellis from Citi.
Craig Ellis: Thanks guys and congratulations on the quarter and on the fiscal year.  Fist is a clarification off of comments on the last quarter’s call.  You had talked about some orders softness that you had observed in the mid November timeframe, can you just walk us through the linearity that you saw in the quarter on the order side?
Mohan Maheswaran: In Q4 Craig, bookings were soft throughout the quarter, the booking improved modestly in January and strengthened in recent weeks I would say.  Not unexpected you know as we look at December, Christmas we expect a little softness there and then early February because of Chinese New Year, softness is expected there so what’s encouraging is that the bookings are starting to get a little bit stronger and March and April are at least for us expected to be a stronger bookings period.
Craig Ellis: That’s helpful Mohan and then a follow up on the gross Margin guidance for the fiscal first quarter, you had talked about it being down sequentially, is that fairly utilization or is there any mixed component or any pricing component in there.
Emeka Chukwu: Craig, this is Emeka.
Craig Ellis: Hi Emeka.
Emeka Chukwu: Hi, it’s mostly the cost of utilization.  We do expect that volumes manufacturing or volumes will be down in Q1 relative to our fourth quarter.
Craig Ellis: Okay, and then lastly, staying on gross margin and thinking about the objective of getting to the midpoint of the target range by the end of the year, should we think about the companies goals being one that’s pretty linear as you go through the year or is it really more back end weighted and dependent on the sale of the new product activity that you had talked about in your prepared remarks, Mohan.
Mohan Maheswaran: Yeah, I think it’s probably going to be more back end Craig, mostly because we are depending on the new product platforms, you know we expect new charger platforms some of the new advanced com and sensing platforms to start to gain traction and those are what are really going to draw the increase in the gross margin in the second half.
Craig Ellis: Thanks guys.
Operation: The next question comes from Doug Freedman from Am Tech Research.
Doug Freedman: Thanks for taking my questions.  If you look forward Mohan, the design winds that you’re seeing, how is it going to change company’s exposure to buy in market going forward and is there any sort of geographic change in your outlook?
Mohan Maheswaran: I think the key changes going forward if I look at my common sensing becoming a bigger component to those platforms really take off, then I would expect industrial communications and consumer to perhaps be a little bit stronger for us.  And power management, I think a little bit more consumer.  Also from a regional standpoint, you know the probably won’t change that much.  The consumer is usually driven out of Asia and Japan, we’ll maybe see more Japan than Taiwan but I think the mix is going to be roughly the same as what we have.
Doug Freedman: And in the markets where you saw sort of the weakness in the quarter as far as bookings, is there, you’ve reported that you know it sounds like things are firming up a little bit is the firming that you’re seeing in the same customers that were showing the weakness or is it that you’re seeing the emergence of maybe new products or other things happening in other markets that have you more encouraged about the recent booking patterns.
Mohan Maheswaran: Yeah, I would say the booking is more related to existing customers and new products, the attraction that we have with new products we’re now seeing significant increase in the demand from those yet.
Doug Freedman: Okay and then so I mean I just want to make sure I understand you.  So the customers that saw weakness, are they backordering now, have they sort of worked through their inventories or?
Mohan Maheswaran: Let me give you an example, Doug I think handheld for example in Q4 was very soft and I think it’s starting to get a little bit stronger.
Doug Freedman: Okay very good, great thank you and you did a nice job in the execution here.
Mohan Maheswaran: Thank you.
Operator: Our next question comes from the line of Ross Seymore with Deutsche Bank.
Ross Seymore: Hey guys, and congrats on the solid quarter.  Mohan, you just mentioned about the handset stuff coming back and you talked a little bit about the linearity of quarters.  Would you characterize them in total as being normal seasonally, worse than normal, everybody’s trying to reconcile to more of a macro view and anything you could provide versus normal seasonality or however you want to peg would be helpful.
Mohan Maheswaran: Yeah, I think Ross it’s kind of seasonal, I mean it’s pretty normal for this type of period in the year.  I would say it’s probably a little bit softer than one would expect, but given what I talked about December being a Christmas and one wouldn’t expect strong bookings during that period and then the Chinese New year, there is, one does look for a pick up after that.  I think it’s quite normal I don’t think there’s anything there that I see that surprises me yet about versus other years.
Ross Seymore: And I don’t know if I missed it but do you mention what the lead times were, did those change at all from the 8 to 12 weeks you talked about last quarter?
Mohan Maheswaran: The order lead times?
Ross Seymore: Correct.
Mohan Maheswaran: Quarter lead times are probably coming a little bit shorter now I would say, we’re getting a little bit more visibility but not much more.
Ross Seymore: And then you mentioned about some of the new product traction and it seems like the word consumer came up a couple times in both power management and protection.  Does that in any way impact your gross margin as far as being a head wind from the kind of stereotypical view that consumer products tend to not have as high a gross margins as industrial?
Mohan Maheswaran: Well there’s two things that, one is that the biggest kind of problem we have in gross margins is really our power management business and specifically the computing element of that which is very much lower than our corporate average.  And it’s my belief and I’m very confident about this that as we get many of our power products new platforms into the consumer space we can drive a higher gross margin than the computing space.  It is a high as industrial communications or some of those other segments, the answer is no, but I think as a company having the balance of very good industrial base of power discretes and advanced com and sensing driving the communications sector I think it’s good for the company to have the balance of consumer as well and it’s an area that we typically or traditionally haven’t really targeted and I think it’s a good space for us to be in.
Ross Seymore: And the last question for me with the foreign news segment that you’re going to report going forward, can you give us any rough idea of either the hierarchy of the gross margin between those or the range around the corporate average of gross margins, whatever might help us model the mix component with a little more granularity.
Mohan Maheswaran: Yeah, power discrete, protection and advance common sensing are at or above the corporate average.  Our model is 55% or 60% so that will give you some idea of where they are.  And then power is significantly below.
Ross Seymore: Okay, great, thank you.
Operator: You next question comes from the line of Shawn Webster of J.P. Morgan.
Shawn Webster: Yes, thank you for taking my question.  On the, circling back to the lead time question, can you quantify for us what your order lead times are?
Mohan Maheswaran: Typically 6 to 8 weeks.
Shawn Webster: 6 to 8 weeks is typical?
Mohan Maheswaran: Yeah.
Shawn Webster: And there are in the 10 to 12 week range last quarter.
Mohan Maheswaran: You know I can’t recall exactly I think they were probably in the 8 to 10 week,
Shawn Webster: 8 to 10, okay.  Thanks.  And then, how’s the pricing environment for Q4 and how does it look going into Q1?
Mohan Maheswaran: It varies by segment and product line I think typically the most price sensitive areas for us are obviously in the computing space and handheld space and in those two areas it continues to remain they remain very price sensitive very competitive areas both in power and in the protection area.  And I think we plan on price erosion on a pretty consistent basis about the quarter and there’s nothing, there’s no surprise there Shawn I have to say it’s pretty consistent with what we’ve seen pull.
Shawn Webster: Okay, so nobody’s getting overly aggressive, over there yet, or beyond normal.
Mohan Maheswaran: Nothing beyond normal.
Shawn Webster: Yeah, on the power management side, it sounds like you’re refocusing a little bit away from the computing area in the coming year.  You have a lot of design winds I think you mentioned something like 800, what’s the composition of the design winds in terms of end market can you?  You mentioned there’s a couple of different areas that you’re picking up a number of design windows, can you highlight those areas for us?
Mohan Maheswaran: The areas, we are still getting design winds in computing so the message in computing is very simple but in the power management space where we have traditionally played in de core regulators and some of the peripherals where the margins get to a point where the customer’s only real request about price we have chosen to kind of stay away from that game.  That’s not where Semtech differentiates, but in all the other markets, we participate quite aggressively.  And I would say that continues to be our strategy.  What was the question?
Shawn Webster: The 800 design wins.
Mohan Maheswaran: The design winds are, the 800 design winds is across the board.  I would say we get them in handheld.  In protection a lot of the design winds are coming from computing space, handheld communications being Ethernet ports and USB ports in the handheld space.  On the industrial front we get a lot of design winds from advanced common sensing platform and industrial protection requirements on the comm. side it’s more again Ethernet driven, voice over IP and [Gpon] and we are getting design winds in the consumer space in LCD TV’s and set top boxes and DV-R’s both where there are HDMI ports where there’s some power requirements etcetera.
Shawn Webster: Okay.  Great, oh, one final one, did you have any 10% customers in the quarter?
Ekema Chukwu: No we did not.
Shawn Webster: Okay, thank you very much.
Operator: Your next question comes from the line of Cody Acree with Stifel Nicolaus.
Cody Acree: Thanks guys.  Mohan, maybe you can talk about the gross margin drivers.  You gave some stratification of end market of the importance to gross margin but what do you expect over the next several quarters to be the thing to rid you to your target margin?
Mohan Maheswaran: Well I think the main thing that we, that move us moving power management margins from being where they are today to a higher point.  They won’t be you know where we want them to be long term, but I think if we look at kind of a 12 month rise moving our power management margins from being well below the corporate average to closer to the corporate average is the keys.  I think our advance common sensing business which can generate higher gross margins becoming a bigger portion of our company I think will be important to drive gross margin.  Expansion and then our power discrete business also becoming a, continued to grow and becoming a bigger part of the company will all expand gross margins.
Cody Acree: And then in the power management specific lot, over the last several quarters, where do you expect, where do you see your market say specifically in handhelds?
Mohan Maheswaran: Did you say market share Cody?
Cody Acree: Yeah market share driving some of those margin improvements.
Mohan Maheswaran: Well our market share in handheld power is very small to date so no, that isn’t going to, that isn’t significant in impacting our margin in power.  The biggest chunk of power credit that drives the lower gross margin is the power space as we shift that to more consumer and more handheld frankly we can demand higher gross margin in the handheld space than we can in the computing space just because that market is moving and we have some innovative products.  So for example the battery chargers that I just talked about, you know I believe that that alone will move the margins up as we start to get revenue from that.
Cody Acree: Okay, fiscal ’09 a lot of work has been to drive market share in the handheld space specifically do you expect that to start to come to fruition?
Mohan Maheswaran: Yeah I think in the second half of fiscal year ’09 we’ll start to see the benefit of some of the design winds that you know, obviously we depend on our fairly robust economy and customers moving ahead with the platforms that they design products into but let’s assume that you know that we have a reasonable second half then I do think that we’ll get that benefit.
Cody Acree: And then lastly, guidance for next quarter, to what extent did economic influence have on that guidance of, versus normal [hour].
Mohan Maheswaran: Well you know it’s one of those things when you talked to customers and they’re very nervous about shipments and to North America and the number of TV’s they’re going to ship for example and things like that.  That’s really what gets you thinking about it.  I would say that we’re really comfortable with the guidance we’ve given.  It’s obviously will be a record Q1 for us if we achieve it so it’s an aggressive, still represents the kind of growth that we want to see and puts us in good shape for fiscal year ’09 growth so I don’t think you know we’re uncomfortable with it but I think you have to be honest and answer your question, I think it has been influenced by the kind of information we’re getting from our customers about their own nervousness.
Cody Acree: Alright, great, thanks.
Operator: The next question comes from the line of Harsh Kumar with Morgan Keegan.
Harsh Kumar: High guys, Mohan, first of all, Mohan a good quarter.  Couple of questions, looking at your seasonality or your guidance for the quarter down about call it 8.5% at the midpoint, is that how we should be thinking about your company as having a seasonal movement or is that a little bit of the worst given what you’re seeing?  Or are you simply being cautious.
Mohan Maheswaran: I would say that our profile, the company profile has changed somewhat Harsh, we are becoming more of a second half company, and the first half is a little bit, are going to be a little bit softer and that’s mostly driven by the strength of our protection business.  And particularly its strength in handheld and computing so that’s one thing but then I think as I said in the last discussion that there is a little bit of concern about the state of the economy and the health of the markets and so there’s a little bit of cautiousness in there.
Harsh Kumar: Okay fair enough, and then you know I think at some point in your script you talk about being comfortable with the 55% to 60% gross margin, are you still comfortable with the operating margin of 25% to 30% achieved in the next 12 months or so?
Emeka Chukwu: Yes, Harsh, this is Emeka, yes, we’re still very comfortable with that because like we have said in the past we expect operating margin to increase very modestly and so if we’re able to drive the gross margin expansion that we feel very good about, we should see a lot of our top line growth drop into the bottom line.
Harsh Kumar: Fair enough and think you said to that is that it would be mostly a second half so that the gross margin extension.
Emeka Chukwu: Yes, the gross margin expansion is mostly for the second half but still expect to exit our fiscal year 2009 at the midpoint of our operating income, operating margin model which is 25% to 30%.  So we do expect to exit somewhere between 25% to 27%.
Harsh Kumar: Got it.  A question for Mohan.  Mohan you said I think the industrial business which is pretty strong.  Between handhelds and, between I’m sorry consumer and computing was there any one sector that was particularly weak, weaker than you would have thought?
Mohan Maheswaran: Well, you know handhelds were probably, it was a surprise in Q4, I thought, I mean computing one does expect it to be down and handheld to be honest with you, if there’s one area of surprise it was probably handhelds a little bit softer and that’s where we’re seeing a slight up take in the booking now so I think that’s expected.
Harsh Kumar: Are you seeing anything funny going on with the consumer in terms of just outside of general numbers that you mentioned it.  Are you seeing any hot data points that make you concerned with what you’re seeing in the broader market space?
Mohan Maheswaran: Well I believe that nervousness Harsh I mean I have spoken with customers and customers have said that they are nervous about the consumer demand in North America and there’s no surprise to that really so.
Harsh Kumar: Okay and now just one for Emeka, Emeka in your portfolio do you have any auction rate securities at this point in time?
Emeka Chukwu: No, we do not have any at this point in time, the last few ones that we had were actually we got out of those a few months ago.
Harsh Kumar: Well that probably was a very good move Emeka.  That’s it, I’ll come back and follow up thank you.
Mohan Maheswaran: Thank you.
Operation: Again to ask a question, please press star one.  Your next question comes from the line of David Wu with Global Crown Capital.
David Wu: Good Afternoon, can you talk a little bit about the, two things, it’s seasonal if we have a normal seasonal year, would the July quarter be your low point for the year and then you build in the second half or is July seasonally about the same the January quarter on an ongoing basis and the other one, the follow up actually is on the power management side.  Mohan you’ve been to a company that was very big on desktop power management as well, and I was wondering what did that business is becoming such a commodity to business with our friends from Taiwan that in fact if you don’t compete for that business anymore, how would that affect your power management business overall?
Mohan Maheswaran: Okay Dave so the first question on seasonality and the shape of the company.  I expect to in Q3 to be in the future probably our strongest quarters.  Q2 because of the buildup of product for Christmas and then Q3 you know handheld computing and consumer products being stronger so historically Semtech I think has had a stronger, if you go back and look at the data, stronger Q1 so you know this is the kind of shaping of the business as protection specifically in the handheld and computer spaces is doing very well as advanced common sensing starts to really ramp up particularly with the new strategies in that space I think that will also exaggerate the, that mix in terms of the consumer so in Q4 for us remember it goes into January so January is a little bit softer. And then your question on power management so I mean it’s no surprise as I came into Semtech I said look power management, desktop and notebook computing for us unless the customers are willing to and understand and want differentiated products, we’re not going to be able to win that battle and we talked about that and kind of shake the R&D into different areas.  Having said that some of our customers both in the service space and in the notebook space are willing to pay and they are willing to pay a little bit more for the differentiation and you know in those cases we’ll continue to service them.  So I think we can still have pretty reasonably sized computing power and computing business for the company it’s just that it won’t be as big and growing as much as I think historically and I think we’ll trade that off for more consumer industrial and communications power.
David Wu: Thank you.
Mohan Maheswaran: Thank you.
Operator: The next question comes from the line of Steve Smigie with Raymond James.
Steven Smigie: Great, thank you.  In terms of the sort of positive outlook you have for the advanced com and sensing business is it more heavily loaded onto the old, [desemics] business as the advanced com or vice versa?
Mohan Maheswaran: Steve the way to think about it is remember that we now integrated three businesses, three companies together so it was Zymics, Acapella which the advance communications product and now also the test and measurement products from Edge acquisition so when I look at AC&S now our advanced common sensing business, it really has those three components to them.  And the growth, the real growth is going to come from actually what I’ll call integrated platforms, it isn’t platforms that either one, one single company had, it’s more integration of some of those platforms which I think can be very disruptive in the marketplace so they are in definition now, they’re in the pipeline now, they’re being developed and as they come out, I think you know there’s going to be some interest in them.
Steven Smigie: And in the past when I could follow, this stuff was sort suffered it was, it had pretty, it was sort of a difficult sale I believe and it had a lot of problems but it was a little bit slower getting going, is there something that’s different now about the way you integrated the platforms or you’ve already been out there in the field getting feedback that you believe that the design winds are going to likely come in the back half?
Mohan Maheswaran: Yeah, I mean that’s a very good question, I mean basically it’s very simple because you know when you take a communications platform and you develop a communications platform for the communications market, it takes a long time to develop the platform and it takes a long time to generate revenue from that platform.  If you take the same capabilities and you combine it with you know some consumer type of applications and you target the consumer space, you get a much shorter time to the platform being release and you get a shorter time for revenue but basically you’re using the same core technology as you had in a different, focused on a different area.  So you know I think there are some things that we have done and I think we continue to do those things that I think will generate a little bit more opportunity for us to generate the type of revenue growth that I think that Semtech can achieve.
Steven Smigie: Okay, and then in I think in the past, sort of an [class sided] industrial/military business it’s been roughly a third of the revenue or so, how much of that would be industrial versus an aerospace or other military type application?
Mohan Maheswaran: Actually it’s, military is just, I think it’s probably.
Steven Smigie: Well power discrete, the military session of that is about 9% of total Semtech revenue.
Mohan Maheswaran: Yeah so the rest of it is high end medical, it’s high end industrial and aerospace being engines and that type of thing so it’s fairly broad and then the other component of industrial Steve is what is historically the Zymics basic business which is very solid business, a very solid business that got us into a broad range of the industrial customers.
Steven Smigie: Great, and my final question is just on the business space products you were talking about.  Is that, are those primarily dials or what type of product is that?
Mohan Maheswaran: Dials and assemblies, yeah.
Steven Smigie: Great.  Alright, thank you very much.
Operator: Next question comes from the line of Manoj Nadkami from Chip Investor Group.
Manoj Nadkami: Hi, congratulations on solid reserves in a volatile market environment.
Mohan Maheswaran: Thank you.
Manoj Nadkami: Yeah, most my questions have been answered, just one quick question, what was the cash flow from operations?
Ekema Chukwu: During the quarter?
Manoj Nadkami: For the January quarter.
Ekema Chukwu: The cash flow from operations was approximately $17 to $18 million.
Manoj Nadkami: Okay and what are your expectations in the current quarter.
Ekema Chukwu: Well I haven’t hammered that out yet but I could say that because we really did a very good job of generating cash we have typically more of something in the range 22% to 25% of revenues.
Manoj Nadkami: Okay.  All right.  Well thank you.
Mohan Maheswaran: Thank you.
Operator: Your next question comes from the line of Nicolas Aberle with Caris.
Nick Aberle: Thanks guys, just question of visibility, so you guys are guiding to about a 39% churns rate at the midpoint for Q1, I’m assuming the backlog was down materially coming into the quarter, just given your conservatism just what gives you the confidence you can hit that higher churns rate it looks like over the last four or five quarter’s it’s been more like a 35% churn rate.
Mohan Maheswaran: The question what makes us confident that we can hit the 39%.
Nick Aberle: Yeah I mean just looks a little higher than the last couple quarters and.
Mohan Maheswaran: Actually historically, we have, we’ve had achieved much higher turns in the last few years than the 39% on average each every quarter so that’s the reason if I look back two years ago we actually achieved 45% and 4% so we average about 45% turns and so that’s kind of the reason.
Nick Aberle: And then would you say in addition to that just some of the recent pick in some of your business lines also maybe contributing to that as well?
Mohan Maheswaran: Well the order strengthening is has obviously has helped.  We do look at that, look at it very closely and I knew coming out of Chinese New Year you know that watching how the orders were coming in and which segments and which products that was going to be a critical metric for us and I think it’s something we’ve continued to keep an eye on but I won’t say it’s the order you know are so good that I’m going out and celebrating, it think it’s just modest improvement but I, we’ll take that for now.
Nick Aberle: Perfect.  Last question, just with respect to inventories and channels there’s a slight uptake there, but you guys feel comfortable, is the take there that they were just too low coming into the quarter and now they’re more normalized?
Ekema Chukwu: Yeah, exactly that’s the point because back in Q3, we felt that if inventory channel was very low at 55 days and now it’s up to about 68, 69 days and I think that is more ideal.  We actually would prefer to have inventory somewhere between 70 and 75 days.
Nick Aberle: Got you and are you guys seeing any difference in booking or demand levels from OEM customers relative to distribution customers.
Ekema Chukwu: Not Really.  No.
Nick Aberle: Okay, thanks guys.
Mohan Maheswaran: Okay, thank you.
Operator: Your next question is a follow up from the line of Doug Freedmen with Amtech Research.
Doug Freedman: Hi guys, thanks for taking my follow up.  Question for you, you’ve been adding to the sales force, when do you think we’ll start to see maybe any impact from that and where are you targeting that effort at?
Mohan Maheswaran: Well the target is across all regions I don’t think Semtech had a great sales team on a global basis so I think there was improvement to be made across the board.  But obviously China is an area where we are focused.  I think you know we continue to do quite a good job in Korea and Japan.  But I think some strengthening there can help us even further.  And to be honest with you, North America is more of an upgrade than adding resources.  And then one thing that I would mention is that field application engineers sell a type of products that we need as you know they’re really critical and I think that’s probably the key area that we’ve spent some investment on across the board.  I would say it’s across all regions.
Doug Freedman: Great, thanks, and then lastly, there’s been a bunch of changes in the analog market in terms of distribution coverage and relationships, any noticeable impacts to your business or anything that you’re seeing from like distributor interest in giving you mind share?
Mohan Maheswaran: I think actually anything that happens is good for us because we don’t get a lot of mind share today in most regions and so I think it’s actually some changing dynamics there aligning with distributors that recognize Semtech has a great future ahead of is a good thing for us so we’ll see how that plays out.
Doug Freedman: Alright, great, thanks again for taking my questions.
Mohan Maheswaran: Thanks.
Todd German: Operator, how many more questions do we have on the line?
Operator: We have two questions.
Todd German: Okay.
Operator: The next question is a follow up from the line of Harsh Kumar with Morgan Keegan.
Harsh Kumar: Hi guys, thanks for taking my question, I missed the first couple of minutes of the call, the $0.02 for the settlement of the lawsuit, is that including the $0.26 or not including the $0.26.
Ekema Chukwu: You mean the settlement of the lawsuit from Q4?
Harsh Kumar: Correct.
Ekema Chukwu: It is included in the GAAP finance $0.23.  It is not included in the non-GAAP of $0.26.
Harsh Kumar: Got it and then one quick follow up for Mohan, Mohan when you think about areas like LCD TV’s, mp3 players, traditionally Semtech’s not been very strong in it.  You’ve got a couple of product, could you tell me how much percentage of revenues you get from non handheld but what I would call it hardcore consumer areas and do you see that as a growth opportunity?
Mohan Maheswaran: Today is very small Harsh, I would say it’s growing nicely, and it is a target market for us, you know we talk about handhelds people typically think of cell phones but we look at everything, media players, and cameras and the whole portfolio of handheld devices and that clearly is a target for us.
Harsh Kumar: Hey guys, thanks congratulations very nice results.
Mohan Maheswaran: Thank you. Last question operator.
Operator: Your last question comes from the line of Craig Ellis of Citi.
Craig Ellis: Thanks for sneaking me in, just on the new buyback and capital structure, how should we think about you’re intent, using the $50 million program.  Do you want to take the cash balance to a lower level or should we think about you just using you’re cash generation capability to work down shares through the year.
Ekema Chukwu: I think we’re going to finance our $50 million more out of our cash from operations.  So it’s something that we tend to do gradually.
Craig Ellis: Okay, well thanks Ekama.
Mohan Maheswaran: Okay, let me summarize by saying that fiscal year 2008 was a very strong and memorable year for Semtech.  The increase annual revenue sequentially by 13%, achieved a company revenue record in our 47 year history and increased non-GAAP BPS by an outstanding 24%.  We also achieved record orders in the history of the company.  In addition we saw four of our five businesses increase revenues and saw strong continued design momentum in all regions.  Finally we repurchased 12.9 million shares and reorganized the company into four product groups.  There was a lot of potential upside to our performance from our platform execution and strategic positioning of these new product platforms and it is clear to me that fiscal year 2008 was just the beginning of the journey for the new Semtech.  With that I would like to thank everyone for participating in our Fourth Quarter Conference Call and I look forward to updating you all next quarter.  Thank you.
Operator: This concludes today’s Q4 fiscal year 2008 Semtech Corporation Earnings release conference call.  Thank you for your participation, you may now disconnect.